Operator: Good afternoon, and welcome to Research Frontiers investor conference call to discuss the third quarter 2025 results of operations and recent developments. The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders of this call. Some statements today may contain forward-looking information identified by words such as expect, anticipate and forecast. These reflect current beliefs, and actual results may differ materially from those expressed due to various risk factors, including those detailed in our SEC filings. Research Frontiers assumes no obligation to update or revise these statements. [Operator Instructions] The call is being recorded and will be available for replay on Research Frontiers website at smartglass.com for the next 90 days. [Operator Instructions] Now I'd like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thank you, and hello, everyone, and welcome to our third quarter of 2025 investor conference call. Automotive and total royalties were up year-over-year and sequentially when we back out onetime events from 2024. As of the end of the third quarter, we remained debt-free with over $1.1 million in cash and our working capital position remains solid. Our architectural retrofit system debuted this week at GlassBuild 2025 in Orlando. The show ended earlier today, so my voice may be a little horse from speaking with customers since Tuesday. We had an outstanding response. John Nelson had asked by e-mail a few questions about the show. What was the response? Were there any orders obtained for either the retrofit or the IGU products? We had a steady stream for all 3 days of interested parties, John, and they were amazed at SPD's performance and the ease of installation and elegance of the design of the system. Full spec sheets for different configurations of SPD windows for architects, designers and facility managers were handed out. John also asked, how are you planning to market these products and to whom were any orders obtained? Initial customers are expected to be the government buildings through AIT Group's status as an approved GSA vendor, embassies across the world and commercial buildings such as high rises and office buildings. Homes are possible as well, and we are working together on some high-end projects there as well. We've also identified and are discussing specs for at least 2 major and highly visible projects. The idea for GlassBuild and all of the shows and conferences we attend is to get the conversation started and for AIT Group, Gauzy and RFI to have real-world demonstrations underway. We and our licensees plan to build on that momentum through major trade shows early this year and even at the GLASSTEC 2026 show in Dusseldorf. That show is only held once every 2 years and is the largest glass industry event in the world. With respect to cars, we will also similarly build on momentum in the automotive market. As I noted on our last conference call, the bankruptcy of the original licensee supplying Ferrari and the shift of that business to another one of our long-standing licensees caused royalty income from strong Ferrari sales to be mostly absorbed by the high minimum annual royalties be paid by that new supplier at the start of 2025. In real terms, because of the prepaid minimum annual royalties from 2 licensees absorbing the Ferrari sales royalties, and this was something that only first happened this year in our history, the switch from one licensee to another from an accounting standpoint reduced our reported automotive royalties this year by 6 figures. Even so, our royalties in Q3 and for the 9 months after the onetime events are backed out from 2024 are higher than last year. And even with this and the Ferrari business split between 2 licensees for the first half of this year, because of the sales levels achieved in Q3, the MARs for this licensee have now been exceeded in Q3. So some of our royalty income comes from this licensee in the third quarter and all of the royalty income generated by Ferrari in the fourth quarter will now become recordable in full in the fourth quarter. We expect revenue in all market segments to increase further as several new car models and other products using the company's SPD-SmartGlass technology are introduced into the market. Turning to our financial condition and liquidity. We continue to manage our resources effectively. As of September 30, 2025, we held approximately $1.13 million in cash and had working capital of $1.4 million. We remain debt-free. One shareholder, Jared, asked if we plan to raise additional capital. We do not currently plan to raise additional capital, assuming that we don't have a repeat of the Q2 licensee bankruptcies and none are expected, by the way, and we collect what is owed to us. We have had interested investors approach us, so capital is available if we ever need it, but there's no current plans to raise funds. We continue to see progress and significant developments across our markets. Our SPD Smart technology is licensed or used by many major companies in 5 areas: aerospace, architectural, automotive, marine and display products in almost every region of the world. And we have had some very key developments within our industry since the last conference call. I can say we never had a more full pipeline of projects and opportunities. Some are medium term and some are near term with the timing and ability to announce more in our control. A good example is the architectural retrofit system. I was at GlassBuild in Orlando for its launch there this week by AIT. Show is outstanding. AIT Group, Gauzy and RFI received enthusiastic responses to this, and we're working together to announce more details. In the architectural market, we will be following it up with major shows in January, February and perhaps several other shows after that, culminating with the GLASSTEC show in Dusseldorf in October. That show is the world's largest event for the glass industry and is held every 2 years. It gets considerable attention just like GlassBuild in Orlando did. We also expect to have SPD-SmartGlass for the automotive, architectural and aircraft markets in January at CES. And in addition to all this, there is something really exciting later this month. As we announced in yesterday's press release, I am the keynote speaker at the Automotive Glazing Conference in Detroit, November 18 and 19. After being selected to give the keynote on SmartGlass, I am also quite honored to have also been named the Chairman of the conference as well. And I'm looking forward to an illustrious group of automakers, suppliers and colleagues presenting and attending that conference. These include executives and engineers from General Motors, Ford, Volkswagen, Stellantis, Lucid Motors, Jaguar Land Rover, Corning, Kuraray, Carlex Glass, Saint-Gobain Sekurit, NSG Pilkington, Fuyao, Guardian Industries, Renault, Webasto and others, representing the entire automotive glazing value chain from OEMs to Tier 1 suppliers and glass innovators. As I mentioned, we included some questions previously sent in by our shareholders in our presentation today. I'll now answer some additional questions that have been e-mailed to us. Jared emailed in 3 questions. Are there any SPD retro wall installations? Is there a capital raise in the near future? And how does Gauzy's prefab lam stack benefit SPD? Well, I answered Jared's first 2 questions in my presentation earlier. Regarding the Gauzy prelaminated stack, it benefits the SPD industry in multiple ways. It promotes consistency and quality among different manufacturers with different capabilities. It helps the customer be more able to easily interchange suppliers because of the consistency, and it also enhances performance by using a combination of materials in conjunction with the SPD film to create an optimized stack in terms of UV and IR protection and optical clarity. It also speeds up production times by our licensees, minimizes costs from wasted materials and other similar efficiencies of scale. Some other questions from John Nelson that were e-mailed to us prior to the call. Any update on the sun visor, either aftermarket or built in the windshield? Well, John, since our last call, we've had more customer inquiries about this and some OEM activity as well. SPD Black development status. John, I'll be talking about this in my closing remarks later. Is there much interest by automakers in developing SPD for side windows? Yes, John. Apart from Mercedes concept van earlier this year, there is interest. This is one area that can greatly benefit from the black SPD. The Sapphire Blue SPD is perfectly fine for sunroof, but I believe that the automakers want black or a more neutral colored SPD, which is better suited for side windows. Steve [ Azer ] asks, it was nice to see some price action in the stock of reefer a few weeks ago. Are we still lagging the market? And what will we need from REFR to see higher valuation going forward? Well, thanks, Steve. And as a shareholder myself, I too want to see higher stock prices. However, just one of the assumptions you made. When you back out the Magnificent 7 stocks, we're not lagging the small cap market. Over the past 6 months, is as of yesterday, Refer outperformed U.S. micro caps. We were at roughly 68% in the last 6 months versus 38% for the general microcap market. Next question from Steve [Azer ]. Is anyone replacing Michael LaPointe from his recent retirement? We're not replacing Mike. He did a great job for us as VP of Aerospace Products and got many programs underway to the point where our licensees in the aircraft market and their teams of people are now able to carry the ball beautifully. Mike and I have spoken often in the past 2 months, and he's enjoying retirement and keeping busy, but he still keeps a close eye on things at Research Frontiers. I'll now ask our operator to open up the conference to any additional questions people participating today might have that we haven't already covered. We ask that you please keep your questions brief and limited to questions of general interest. If you want to get into more specifics, we can certainly do that by e-mail or by telephone later. I plan to also cover a lot of exciting information and developments in my closing remarks. So I may be addressing your question in more detail actually in my closing remarks, and we'll let you know if that's the case when you ask your questions.
Operator: [Operator Instructions] Our first question comes from James Leo of RBC.
James Leo Carlisle: So I mean this call is kind of like Groundhog Day. I mean it's the same call over and over again. I look at the 5-year growth rate of the company at minus 3%. And I'm just curious where are all these car sales that you've been saying we're going to be coming?
Joseph Harary: Okay. Well, I try to go into a little bit of it, James. Ferrari has been doing very, very well for us, increasing.
James Leo Carlisle: We know about Ferrari already, right?
Joseph Harary: Yes. But the accounting treatment, when you had a licensee go bankrupt in the second quarter and another licensee step in and have to meet their minimum royalties before you can book new income as part of it. But I expect -- and in my closing remarks, I'm going to talk about some exciting things about what's coming in the automotive.
James Leo Carlisle: I mean, how many quarters ago did you announce that there was going to be a high production car coming out? Was that 2 years ago?
Joseph Harary: And we'll be talking about that. Things take a while in the automotive industry, and we do it right as I think history has demonstrated. But if you wouldn't mind holding the rest of your question for the closing remarks, and if I haven't answered them, you could always call me. I'm happy to talk to you.
Operator: Next, we'll hear from John Nelson, an investor.
John Nelson: Joe, just an idea kind of afterthought. Since the retrofit product is so, I would call it, revolutionary and since it is -- you've indicated it is production ready, would it make any sense to see if any of the new shows or podcast would be interested in profiling your product?
Joseph Harary: Yes. And we actually have a couple of those in discussion right now. What I want to do, I mean, the best way to experience the retrofit, John, is to actually see it work because it's incredibly easy and elegant. I mean it's -- they did -- the AIT Group, which owns LTI, our licensee, has really just worked out so many, what I'll call subtle details. For example, you pop this into a window frame and you want to make sure that you're getting a good seal. You want to create an air space to create even better energy efficiency. You want to make sure that there's no moisture in there that gets trapped. So a lot of things and of course, the wiring. And we actually are developing several different methods of wiring, including what I think is really, really exciting and quite doable, which is an autonomous window. What I mean by that is it's self-powered. So you pop this into the window frame and you don't have to call an electrician and everything is there. When I was at the show in Orlando, as soon as I walked in, I was handed a maybe a 1.5-inch long key fob remote control. It's a 10-volt remote control, no wires, and I was able to control the SPD windows and dim them and do all of the things. And this was off-the-shelf controller, which means you can actually substantially reduce cost by not requiring specialty electronics and also more easily integrate into building control systems. And a lot of people use [ Lutron ] systems. So the fact that it works with the low-voltage Lutron stuff is very important, too. So these are the kind of things that we want to get -- make more visual for people so that people could actually see how easy it is to work with. And the hard work -- the harder you work, the easier and more elegant it looks, and there's been a lot of hard work that Gauzy and AIT Group and Research Frontiers has put into this to make it look easy.
John Nelson: Are AIT Group and/or Gauzy producing a video demonstrating the product's qualities?
Joseph Harary: Yes, they will be doing that and also appearing on podcasts and industry things. So we hope to have some nice visual assets to kind of help spread the word better. But also one of the things that I found interesting at the GlassBuild show, first of all, it's extremely well attended by the right people. But when you walked over to actually do the retrofit replacement where you took out -- in this case, they had a large and heavy bullet-resistant glass window. And you could just walk over. I saw one guy who was maybe half my size, easily put this in. So what -- where the real benefit is, and that's -- it's kind of an interesting observation is you can go in there in the course of a weekend and totally upgrade all the windows on a couple of floors of a building. And they did one. It wasn't SPD, but it was for the White House. And unfortunately, you can't close down the White House during the day. So they had -- they said they had to go in there at 5:00 and work till 2:00 a.m. and the secret service was there with their guns ready, but they were able to upgrade the executive building in the White House with this system. So it's quite, quite easy to work with. And we talked about distribution, which I think was one of your earlier questions about how we're going to market and deploy it. We talked about the marketing, but the deployment can be done with pretty much any installer. It's not a high skill to put this into a building once the system -- because of the system. So you could have groups of people in all over the country just go do this. And it's -- think of it as like a very elegant storm window maybe.
Operator: Next, we'll hear from an investor, Francis Altera.
Francis Altera: The installation in the White House, what was the actual product that they installed?
Joseph Harary: That was an anti-eavesdropping bullet-resistant glass. So bullet-resistant, you understand, and they can now do Level 10, which means they could stop a 50-caliber round. And they had some there. I wouldn't recommend sending near this stuff when it's being shot at. But the anti-eavesdropping, you can shine a laser on a piece of glass. And if you and I were talking in a room, the glass would vibrate and someone from the outside might be able to shine a laser on the outside of the window and turn the vibrations back into sound, which is sometimes what's done in [ Spycraft ]. So this special film that AIT Group and LTI can put in their windows, and they've done it for the CIA and others. And for Embassies prevents that from happening.
Francis Altera: Okay. It's pretty cool. Is that glass capable of having SPD on it?
Joseph Harary: Yes. So that's a great follow-up question. So the way it would work, let's say, I'm a facility manager or in charge of an Embassy somewhere, the building of an Embassy and we have existing glass, and I want to make it upgraded. What I would do is go on the GSA schedule, which is basically if you're a GSA-approved vendor, the government can buy directly from you. And it's almost like a Chinese menu. So the plan with this is to have AIT Group have a whole different bunch of options for the retrofit. So for example, if I particularly wanted bullet-resistant glass and I wanted bullet resistant up to Level 8 or Level 6 or Level 10, and I wanted it to have the anti-eavesdropping glass and I wanted it to have SPD. I just check a couple of boxes and order it. And that's the idea. It's like a Chinese menu. If I didn't want the anti-eavesdropping, but I want the bullet resistant in the SPD, I would just check those 2 boxes. And obviously, there's different prices for different things. But that's the idea is to make it very easy to deploy across the U.S. government.
Francis Altera: How capable is the supply chain setup for the architectural market? And is it right now being focused on the blue tint or the black tint?
Joseph Harary: Right now, everything is focused on the existing commercial film, which is the blue, Sapphire Blue. One of the nice things about this retrofit system is, let's say, next year, the black comes out, and I happen to upgrade my Embassy or my building with the blue. And I said, money is no object. I really want the black. Someone comes in and within the course of a weekend can redo the whole building with the black. So it's really -- it makes it future-proof, which is great.
Francis Altera: How far along is the black?
Joseph Harary: I'm going to talk about that in my closing remarks, but it's very, very far along.
Francis Altera: Okay. Now you mentioned increasing sales with Ferrari. Whatever happened to Hyundai?
Joseph Harary: I'm going to talk about that also, but it's still moving forward.
Francis Altera: Still moving forward. What caused them or whomever it was to totally not fall through -- follow through with the 2023 projection of us being greatly rewarded. What happened there?
Joseph Harary: My understanding is it was partly because of the car itself, not the SPD part. And I suspect that if you know that a black is coming and you're not -- you don't have a gun to your head to put the blue in the car, you might wait. Some automakers have expressed that and some haven't. So it might have unintentionally caused a slowdown in some areas. For the most part though, the sunroof for the most part, the sunroofs are fine with the blue. Things like side windows would prefer black.
Francis Altera: Is there any difficulties in producing it? Do you have a good sense.
Joseph Harary: You mean the black or the retrofit? Or both?
Francis Altera: Retrofit.
Joseph Harary: No. No, no. A matter of fact, AIT Group has an entire building devoted to just the framing system for the retrofit.
Francis Altera: What about the supply...
Joseph Harary: That's building #3. And I'm told that building #4 is waiting when they -- if they hit capacity in building #3. So they have expansion room, too.
Francis Altera: Yes, but that's the frame. What about prior -- the glass...
Joseph Harary: Well, they can do glass all the time.
Francis Altera: The lamination.
Joseph Harary: Yes. That's what AIT and LTI do is they have a tremendous operation in -- outside of Tampa in Largo, Florida, and they have another tremendous and even larger operation in Pittsfield, Massachusetts.
Francis Altera: Does [indiscernible].
Joseph Harary: They do it.
Francis Altera: Lamination inhouse -- the lamination is done in-house with...
Joseph Harary: Yes, that's their specialty. Laminated Technologies, LTI is the part of AIT Group that does and has done SPD lamination for our licensees for a long time. They have very good experience.
Francis Altera: So Gauzy makes the film, ships it to them and they do the rest.
Joseph Harary: They laminate it. Right.
Francis Altera: Right.
Joseph Harary: And Gauzy was at the show yes, Gauzy was at the show along with AIT and of course, me.
Francis Altera: On our last conference call with Gauzy, they never even discussed SPD. Why did they not even address that? I found that to be somewhat odd. Would you have any [indiscernible].
Joseph Harary: Yes, I've had this discussion with Gauzy. There's a very sexy high-growth part of their business. That's their switchable film division. And they have a very bread-and-butter part of their business, too, things like the Safety Tech division, which does the cameras for trucks and things like that. And as a new public company, I guess they were advised stick to kind of the more traditional way of presenting your company, which is here are your revenues in each division, here's your EBITDA in each division, and they have about 5 different divisions. So they devote some time to it. From a shareholder value standpoint, I believe they would do much better focusing on the growth areas like SPD. And I've expressed that to them, and I think they're getting that message.
Operator: [Operator Instructions]  We have no questions at this time. I'll turn it back over to you for any additional or closing comments.
Joseph Harary: Okay. Thanks a lot. And if we haven't fully answered anyone's questions, either live or by e-mail, please feel free to e-mail us, and we're happy to talk to you. And I'm going to put a lot more detail in my closing remarks. So I think a lot of the questions that have been asked, you'll get a little bit more meat and flavor from it. Success rarely comes in a straight line and how you navigate that path frequently determines the outcome. And some of our competitors never even crossed the finish line and went bankrupt. On our past conference calls together, I've told you about our retrofit application and about how the automotive industry views SPD as the best performing and most reliable switchable tin technology. You're now seeing proof. What we discussed on earlier calls is materializing, sometimes not on the exact time frame we were told, but consistently moving forward. The architectural retrofit application was presented this week at the most prestigious U.S. Glass conference and will appear at additional major events worldwide. Our customers for the retrofit include both government and commercial entities. Direct adoption by the government offers a large opportunity. The GSA is the largest customer in the world, and the government also promotes use of SPD Smart Glass in the private sector through tax incentives, such as the Dynamic Glass Act, which provides 30% to 50% credits. Both of these should accelerate use, especially now with the ease and speed that an existing window can be made SPD Smart. Yesterday's announcement about the Detroit conference, which incidentally is the same venue where we landed Cadillac years ago, and my selection as keynote speaker and Chairman highlight our growing credibility in the automotive industry. Multiple markets and industries are now connecting the dots and they've responded positively to SPD Smart Glass technology. This industry isn't easy. Automotive makers demand the best and misinformation and overpromising and underdelivering from competitors is common. We counter that with the worldwide network of dedicated companies and the highest performing smart glass technology. In the past year, 2 competitors went bankrupt. Another performed a cumulative 4 million to 1 reverse stock split, yet its stock still trades for pennies, was delisted and they recently lost their CFO and COO. Another competitor was not able to supply an electrochromic sunroof that was announced by the car manufacturer with great fanfare. That roof option is still on "production constraint, and my visit to the dealership to see it resulted in the salesperson wondering if the roof was actually switching tint at all because of the very slow switching speed. He said at the end that I might be able to get the option on a car in "a couple of months. On October 24, 2025, so not too long ago, on the third quarter earnings call, the COO and CTO of Gentex Corporation, which incidentally is a company that I respect very, very much, noted the following, and it's worth my reading his public comments in detail to understand the real challenges that companies face in trying to get a switchable tin product into the automotive industry. Customer interest for dimmable sunroofs and visors continues to grow, and our teams have been working incredibly hard to continue moving this product from single unit production into more mass scale capability. As noted in prior calls, this is an incredibly complex and challenging manufacturing process. To date, we've been utilizing partners to execute part of the process while we get our larger scale production equipment in-house and operational. The target is to have this in-house operation running in late Q1 to early Q2 2026. As with any new product or process launch, there will be challenges. But with the manufacturing capability we have at Gentex, I remain confident in the team's ability to bring this product into the market in the next 1.5 years. The question was then asked of Gentex, what's left to be done in terms of achieving commercial viability? Where are you and what's left to do? I know there's a lot of technicals that go into getting that OEM certified. And Gentex's response, yes, there is some -- there are still some of the bigger challenges, the requirements of taking that technology into automotive and meeting the environmental temperature, all of the above process requirements as well as when you have a really large piece of glass with a darken surface. It's easy to see small issues in the process that the dimming materials put down. So that's the big part of the Q1 and Q2 of the next year as we are getting that capability in-house so that we can get better control on that process quality. So with those, I think those are some of the biggest hurdles that we still have got in front of us. There's a lot of little challenges that we fight every day, but the team has been doing a great job keeping those little challenges down and trying to get focus on some of the bigger ones. So they're not even at the bigger challenges yet. They're on the smaller ones. [indiscernible] let's contrast that -- and this may somewhat answer the question of why does it take so long. Research Frontiers overcame these same challenges 15 years ago. We brought SPD-SmartGlass into mass production with 4 automakers and multiple models. We expanded business with Ferrari and other brands whose customers love the option. And even after 2 supplier bankruptcies that we endured, which is a testament to the strength of our business model, planning, technology and partners. Our mission has never changed. We pair the best-performing smart glass technology with a low-risk, asset-light business model. This approach keeps expenses predictable, preserves our upside and supports global diversification. These achievements are all beginning to be publicly recognized. At the Detroit Automotive Glass Conference in less than 2 weeks, I'll present a comparison of all the major glass technologies and their relative strengths and weaknesses. I'll explain why SPD alone is already proven across tens of thousands of cars, yachts, aircraft, trains and architectural projects, real projects used by real people every day. We continue to compete against PDLC in privacy and in projection uses where SPD outperforms in clarity, shading and control. We also outperform electrochromics in nearly every large area application, sunroofs, panoramic roofs, architectural windows, yachts, cruise ships and museums, delivering faster response, better shading and greater durability. And you will note the recent comments by Gentex about the challenges that they are still facing with electrochromics and their arduous tasks for the years ahead. SPD has always been the high-performance alternative, not the low-cost one. History shows that high-performance products are the most profitable and the most enduring. We have already solved the challenges of performance, durability, mass production and supply chain. And we and our licensees keep improving every day with continuous innovations such as Black SPD. As mentioned on prior calls, our recent focus was on cost and color. As the Black SPD film is expected to be out of development and in production and use shortly, cost is the next frontier. On prior calls, I mentioned new car models in Asia, Europe and in the United States. These are still moving forward. And since our last call, we have been asked to bid on new multiple major car models. As part of that high-volume quote process, we were given very aggressive price targets, which were based on prices for other competitive technologies. And I'm pleased to report that we're able to meet it. And maybe cost is not really such a big frontier ahead of us. Our next investor call is not until March. So I encourage people to keep these things in mind. Perhaps reread the transcripts from this in prior conference calls. And of course, we expect fairly significant developments to announce between now and then. I want to share my thoughts with you now as a fellow shareholder. Things have taken too long. They take longer than they take, but we do it right. One thing I'm especially proud of is how we derisked the smart glass industry for investors, licensees and customers alike. If you agree that the pipeline, especially for architectural and automotive is as large as we are predicting, then the only real risk here is whether it's going to take a little bit longer than whatever your personal time horizons are. On the other hand, if you believe in smart glass, we are the most focused way to participate in that market. And on top of that, we are diversified across major industries for smart glass and not just focused on one. In September, JPMorgan Chase calculated that 75% of all gains in the market since ChatGPT got started are coming from AI-related stocks. Well, we're not an AI company, but this certainly shows that certain sectors can go from nonexistence or obscurity to highly relevant. And I'm not giving portfolio allocation advice, but if you have small-cap and micro-cap companies allocated for your portfolio, we are one of the least risky business companies because of the combination of a high-performing and mature technology that has proven itself to be the best performing and most reliable, combined with a very modest asset-light business model that creates a meaningful participation in the upside for Research Frontiers and our shareholders through a 10% to 15% royalty based on revenues, profits from sales of licensed products. We maintain low operating costs and license our technology to global partners who build factories, hire employees and expand distribution, all multiplying our reach without heavy capital outlays by us. Through their success, we all benefited. Even though these people are not on our payroll, they essentially all still work for us. We're in a tough industry, but as history shows, we're tougher. That persistence is now being rewarded as new products reach market and recognition grows. While others in this industry are still struggling to even bring basic dimming functions to the market and several other notable ones have shut their doors completely, SPD-SmartGlass is already in tens of thousands of vehicles from Mercedes, Ferrari, Cadillac and McLaren, HondaJet to Boeing and to Airbus, and they're expanding. Architects, automakers and airlines are reaching out to us because they realize that SPD uniquely combines reliability, clarity, speed and durability. And with the retrofit, its ease and speed of installation, lower cost and high performance and energy efficiency, that's a combination of benefits that no one else can offer. As the leader in the smart glass industry, conferences are reaching out to us to speak and educate. With Ferrari's program fully transitioned, the retrofit launch underway and multiple new car model introductions ahead, Research Frontiers is positioned for meaningful growth. The outlook for the smart glass industry remains extremely promising, at least when it comes to Research Frontiers and our licensees. We stand at the forefront leading this industry with growth driven by our superior technology, increasing demand and regulatory support, continuous innovative breakthroughs and excellent global industry recognition. We look forward to sharing upcoming developments with you, our loyal shareholders. We created the smart glass industry. We've helped shape it, and we will continue to make the world better, more energy efficient, safer and more enjoyable. Thank you all very much.
Operator: That concludes our meeting today. You may now disconnect.